Operator: Good day, and welcome to Nova's Fourth Quarter 2022 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Miri Segal of MS-IR. Please go ahead.
Miri Segal: Thank you, operator, and good day everyone. I would like to welcome all of you to our conference call. With us on the line today are Mr. Eitan Oppenhaim, President and CEO; and Mr. Dror David, CFO. Before we begin, may I remind our listeners that certain information provided on this call may contain forward-looking statements, and the safe harbor statement outlined in today's earnings release also pertains to this call. If you have not received a copy of the release, please view it in the Investor Relations section of the company's website. Eitan will begin the call with a business update, followed by Dror with an overview of the financials. We will then open the call for the question-and-answer session. I'll now turn the call over to Mr. Eitan Oppenhaim, Nova's President and CEO. Eitan, please go ahead.
Eitan Oppenhaim: Thank you, Miri, and thank you all for joining our call today. I will start the call by summarizing our fourth quarter and full-year performance highlights. Following my commentary, Dror will review the quarterly and annual financial results in details. Nova's strong performance in the fourth quarter concludes another record year highlighted by a notable increase in revenue and profitability. Despite market volatility and dynamic industry behavior, Nova was able to perform well during the fourth quarter and the full-year, demonstrating the strength of our diversified and agile business model across customers, markets and technology. While we remain focused on addressing the interim challenges, we continue to implement our long-term strategic plans to solidify our position and seize various opportunities, particularly in this periods. We believe that in the current environment, our unique position in process control can help us strengthen the company's fundamentals through proliferation of our newest product portfolio, additional market share gains, and new penetration. As for the financial highlights, the fourth quarter revenue came in at the high-end of our quarterly guidance testing new quarterly and yearly records. While quarterly revenues grew 24% year-over-year, annual revenue grew 37% outperforming the industry indexes for the year. Profitability for the year remains strong with new record high results allowing the company to exceed EPS of $5 per share on an annual basis for the first time. Along with our record annual product sales, across all divisions, dimensional, chemical and materials, our services business also grew significantly in 2022 gaining 35% year-over-year and surpassing $100 million in revenue. This milestone demonstrates the attractiveness of our customized packages to extend the lifetime of the tool, increased productivity and improved metrology results in our previous product generation. Following three years of significant industry growth, we expect 2023 to be more volatile as customers adjust their capacity to meet a softer demand in some segments like PC, mobile and possibly others. They made these uncertainties Nova ended the fourth quarter with record backlog, which we anticipate will enable us to relatively outperform in 2023. During this period, as the market undergoes capacity adjustment, we believe that our well-established fundamentals will help us navigate the risk and enable us to increase exposure to additional opportunities, either in adjusted markets, new customers, trailing edge nodes, or additional unexploited applications. To meet these short-term potential opportunities, as well as the continued industry growth in the future, our strategic priorities remain intact with continuous investment in our long-term R&D road map and building a tighter partnership programs across all main territories. The growing diversification in our activities and its contribution to our agility and future growth were demonstrated once again in 2022 with the following notable highlights. First, I would like to highlight our revenue mix across various key generations. Our revenue is well diversified across different technology nodes where approximately 50% of our revenue generated from advanced nodes, while the remaining came from a variety of training edge nodes in different technologies and territories. While in the past, these nodes require basic process control we saw during the year a significant growth in demand for cutting edge metrology solutions in similar accuracy and affordability as requested in the front end. This is a result of continuous investment to improve performance, utilization and yield in these legacy technology nodes. Additionally, since the past two days, to improve chip performance, involves technology enhancements also in the advanced packaging and fewer back end, we were encouraged to see growing demand for advanced metrology solutions by customers that used to have very basic process control in the past. We believe that this trend will expand in the next few years where the need for accurate fast metrology will grow across other nodes beyond front end. Second, I would like to highlight the progress we made in increasing the contribution of our materials metrology portfolio. Our goal is outlined during the recent Investor Day is to expand our leadership in this area and reach 30% to 40% of our revenue mix as part of Nova $1 billion plan. In 2022, we succeeded in adding more customers and more application in both the back-end and the front-end segment, resulting in record revenue for both the clinical metrology previously ancosys and the materials metrology division. The range of materials application we serve today is greatly expanded from simple thickness measurements to include composition, stress, purity, complex profiling and more. We anticipate that advancements in materials engineering will continue and expand the application mix as customers aim to improve performance to inline materials modifications. A further highlight is our growth through technology diversification. In addition to introducing new solutions in our main product lines, we continue to expand the adoption of our PRISM technology among high volume manufacturing customers, resulting in record sales of standalone OCD solutions with a significant increase in PRISM sales. Furthermore, we are encouraged by the business performance of our latest addition, the ELIPSON and METRION, which were adopted by numerous logic and memory customers during the year. Both solutions are currently undergoing further evaluation by additional customers with decision expected to be made in 2023. We are confident that the metrology offering we have demonstrated in advanced NAND and Logic, including nano wires, will broaden our market opportunities across different segments. Another growth engine that was amplified this year was the software portion of our portfolio. Our strategic plan aims to generate at least 10% of our product revenue, complete management and machine learning for adaptive modeling-based software. By the end of 2022, we reached a new record high in this segment, putting us within the target model for the second year in a row. Finally, considering the current geopolitical environment, the geographical distribution of our revenues in 2022 should be highlighted as well. While Taiwan and China were the largest contributors the U.S. and Europe lifts forward approximately doubling the revenue contribution year-over-year. Divesting our revenue across different territories has helped us counteracts the impact of weak memory demand in some regions and will continue to support us in managing potential risks in the future. To summarize my part, I would like to refer to 2023 and its impact on our planning. We know by now that this year will be a year of capacity adjustment as customers struggle with slower demand and high inventories in various segments. Although we strongly believe in the long-term industry growth space, driven by multiple engines and technologies, we are focused on navigating the risk in the current environment. Our focus is on balancing spending, while maintaining R&D investments to drive competitive edge and meet customers’ requirements. As in recent years, we expect to relatively outperform in 2023, as well by increasing market share, winning new applications, adding new names, and expanding our opportunity mix across industry segments. In conclusion, while 2023 is projected to be a softer year, following three years of robust growth, we remain confident in our $1 billion strategic plan outlined in our Investor Day. Our solid operational structure, strong cash position and competitive portfolio set us up to deliver outperformance and outgrowth over the next few years. Now let me hand over the call to Dror to review our financial results in detail. Dror?
Dror David: Thanks, Eitan. Good day, everyone, and thank you for joining our 2022 full-year and fourth quarter conference call. Total revenues in the fourth quarter of 2022 reached a record level of $151 million, up 24% year-over-year. Product revenue distribution was approximately 85% from logic and foundry and approximately 15% from memory. Products revenues included three customers in four territories contributing more than 10% each to the total with the contribution of the U.S. territory growing to slightly above 15%. Gross margin in the fourth quarter was 55% on a GAAP basis and 56% on a non-GAAP basis lower than the company target model, mainly due to specific unfavorable product mix in the quarter. We expect gross margins to return to normalized levels already in the current first quarter of 2023. Operating expenses increased in the quarter and came in at $47 million on a GAAP basis and $43 million on a non-GAAP basis. The increase was mainly attributed to higher research and development expenses. We expect operating expenses to decrease already in the first quarter of 20 23 to the $40 million level as a result of cost restraining measures implemented by the company management. Operating margins in the fourth quarter were 24% on a GAAP basis and 28% on a non-GAAP basis within the company's target financial model. The effective tax rate in the fourth quarter was lower than 10%, mainly as a result of higher-than-expected tax credit values in the U.S. Earnings per diluted share in the fourth quarter increased to $1.14 on a debt basis and $1.28 on a non-GAAP basis. Moving on to the annual results for calendar year 2022, revenues grew 37% to a record level of $571 million. This growth is substantially higher than wafer fab equipment in 2022 and was fueled by three main factors. The revenue contribution from the acquisition of ancosys, a higher revenue growth rate than the industry average for each of our dimensional and materials metrology product lines and a strong growth rate of the service business utilizing Nova's active installed base of approximately 4,800 systems installed across the industry. Annual product revenue distribution in 2022 was approximately 70% from logic and foundry and approximately 30% from memory and the company had two customers and four territories each accounting for more than 10% of product revenues. It is important to note that in the past two years, the company doubled its number of active customers through expansion into new front-end customers in China and through expansion into new back-end customers as a result of the acquisition of ancosys. Gross margins for the year came in at 56% on a GAAP basis and 58% on a non-GAAP basis within the company target model of 57% to 59%. Year-over-year, the company was able to present stable gross margins in a challenging environment of significant inflation and rising supply chain costs. This was achieved by increased operational efficiency through growth and by the continued proliferation of new capabilities and features that provide higher value to customers on the same product platforms. Operating expenses in 2022 increased significantly and came in at $173 million on a GAAP basis and $151 million on a non-GAAP basis. This reflects a 32% increase year-over-year on a non-GAAP basis as the company made strides in aligning its infrastructure, development projects and sales teams to meet the current and expected business levels and opportunities. Operating margins for the year came in at 26% on a GAAP basis and at a record level of 31% on a non-GAAP basis at the high-end of the company's non-GAAP target financial model of 27% to 31%. Earnings per diluted share on an annual basis grew significantly and came in at a record level of $4.40 on a GAAP basis and $5.07 on a non-GAAP basis. During 2022, the company generated $98 million in free cash flow and presented healthy parameters related to working capital management with days sales outstanding of approximately 60-days and inventory turnover of approximately 2.5 times a year. In addition, during 2022, the company deployed approximately $185 million in cash as follows: approximately $90 million for the acquisition of ancosys; approximately $55 million for working capital during growth; mainly for inventories and accounts receivables; approximately $20 million in capital investments and facility expansions in all main sites and approximately $20 million for share repurchases. Moving on to our guidance for the first quarter of 2023, we expect the followed: revenues between $125 million and $135 million; reflecting the adjustment in customer spending levels; GAAP earnings per diluted share between $0.77 to $0.98; non-GAAP earnings per diluted share between $0.93 and $1.14. At the midpoint of our first quarter 2023 estimates, we anticipate the following: Gross margins to improve relative to the previous quarter and come in at approximately 57%; operating expenses on a GAAP basis to decrease relative to the previous quarter and come in at approximately $45 million; operating expenses on a non-GAAP basis to decrease relative to the previous quarter and come in at approximately $40 million; financial income to increase to approximately $4 million due to higher yields on cash reserves, and effective tax rate to return to a normalized level of approximately 14%. In conclusion to my prepared remarks, I would like to note that the company management continues to closely monitor the different scenarios of market demand and customer investment plans for 2023. To mitigate different scenarios, the company has already activated several mechanisms to restrain expense levels. These measures are expected to yield fruit and reduce operating expenses already in the first quarter of 2023. In addition, the company's cash reserves grew to over $500 million at the end of 2022 and are expected to further grow in 2023. This healthy cash level allows us to continue and execute aggressive growth strategies and infrastructure investments as part of the Nova $1 billion strategic plan, as well as to continue and execute the $100 million share repurchase program, which was announced and initiated in 2022. With that we will be pleased to take your questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Vivek Arya from Bank of America. Please go ahead.
Unidentified Participant: Hi. This is [Sachin Jain] (ph) speaking on behalf of Vivek. Thanks for taking my question. I know you are outperforming the broader industry that some of your peers are mentioning cancellations and order push outs. Is that something you're seeing as well? And how do you view the near trend demand just broadly overall? Thank you.
Eitan Oppenhaim: Thanks for the question. So it's Eitan here, so I’ll -- first of all, we are not giving guidance beyond the current quarter that we gave. And in this particular dynamic environment it will not be responsible to talk about the rest of the year. We do see a dynamic behavior of our customers. We do see push outs [go in] (ph) and we do see the things are changing on a daily basis. Fortunately enough, we didn't see major cancellations, and currently when we're looking on the rest of the quarter, as I said before, our target is to outperform the market even in the current situation. And as I said in my prepared remarks, Nova knows in very difficult situation to identify opportunities for growth either market share, geographical development, new products, new technology. And I believe that in 2023, it will be the same.
Unidentified Participant: Understood. And then how much is services contributing to that outperformance? I know you guys don't guide, but services has generally been more resilient over the last downturn. Should we assume similar dynamics this time around?
Dror David: So obviously in the current situation, we also see some impact on the service business as well maybe in specific areas, which are a little bit less strong right now. But generally, we do expect service revenue to grow in 2023, obviously at a lower-pace than it was in 2022.
Unidentified Participant: Got it. Thank you so much.
Operator: Our next question comes from Quinn Bolton from Needham & Company. Please go ahead.
Quinn Bolton: Hi, Eitan and Dror, congratulations on the nice results and the strong relative outlook. I guess I wanted to start with that relative outperformance they expect in 2023, some peers will sort of say they expect to outgrow WFE, other of your process control peers will sort of say they're going to grow faster than non-litho WFE. And so when you're talking about outperformance, can you just sort of give us what's the base you expect to outperform? Is it just overall WFE, which I think people think are down 20%-ish this year or is it the non-litho portion, which might be more down 20% -- 25% to 30% this year?
Eitan Oppenhaim: So yes, thanks, Quinn. So of course, that's -- looking right now on the little provided results, all of us need to deduct some of the lead to equipment and look on the rest of the industry. But when I'm looking right now, we’re not performing, I'm looking on to two measures. One is the WFE that the consensus right now is -- would be around, as you say, 20%. And second, outperforming the -- my peers that reported, okay? So both of them reported 20% percent. I think one of them reported even 23% and we want to be better than that.
Quinn Bolton: Understood. And I know you don't really want to guide beyond the current quarter. But just wondering, as you sit today, do you have any sense where you think revenues might trough? Is that a first half of 2023 event? Do you think that the revenue could be weak into the second half? Just trying to think through relative weightings of what you're seeing from customers, kind of, first half versus second half of 2023?
Eitan Oppenhaim: So I can't stay from the current position how H2 will lens, because everything it depends on the memory and the price of recovery, okay? So again, it will not be responsible to thrive and predict what will happen in the fourth quarter. And I think that if you look right now on at least on the quarters ahead of us, we would like to be approximately in the numbers we reported in the guidance.
Quinn Bolton: Got it. Okay. And then lastly, last quarter, I think you called out only a $10 million impact to the materials metrology from China export controls. Wondering as we've had another quarter of data, are you seeing any impact on the OCD business from some of those China restrictions?
Eitan Oppenhaim: So I'll divide this answer to two. So first of all, we are still remaining the same version saying that the impact is minimal and as you said, around $10 million on the material side, it is coming from the U.S. The second level is that the question is the amount of pressure that is going on from Japan, Netherlands, U.S. from the Chinese semiconductor industry can lead to something else that can influence the overall industry, okay? We don't see it right now, but we need to be aware of that our current planning is that China will stay stable in 2023.
Quinn Bolton: Understood. Okay. Thank you very much.
Operator: The next question comes from Mark Miller from The Benchmark Company. Please go ahead.
Mark Miller: You mentioned some emails going on. I'm just wondering if you could provide some more color on the emails in terms of numbers and what areas these emails are going on?
Eitan Oppenhaim: Yes. So we will not discuss about the numbers and the customer profile, but we can discuss the basis of what we did so far in 2022. And when we look right now on the results, we had in 2022, we had the privilege and it was good that we started with the results of the Ericsson and the Matheon with the leading customers. So some of them already accepted the tool, and therefore, the reference in the industry is much better, should we started with different customers. So we have an opening page, which is good now going to the rest of the customers. Looking right now on both the Ericsson and the Matheon, as I said before, the solution is changing the whole metrology scheme. So therefore, every customer that you are coming, you need to go through the eval changing of the metrology scheme in the fab, and then going into high volume manufacturing. So therefore, in 2023, we have couple of them. And we think that by the end of those give us, we will be able to say that we covered the whole front-end segment.
Mark Miller: Would you expect to gain new customers from these evals if they're successful?
Eitan Oppenhaim: Yes, we are.
Mark Miller: Thank you.
Operator: Our next question comes from Atif Malik. Please go ahead.
Atif Malik: Hi, thank you for taking my questions and good job on the execution. And Eitan, can you talk about the areas of outperformance that you're expecting this year on the logic side. Is it coming around -- from yet all around the applications on the memory side, where do you expect the outperformance of your products to come from?
Eitan Oppenhaim: Yes. So I'll talk about the different growth engine that I look at them this year, which is disconnected from the capacity. So first of all is the new product, right? So we think that the pace of recognition this year of the new product that we introduced will be higher than last year, this is one. Second, when you're looking right now on the customers, and even if we're looking right now on the logic that we are very strong, there is a lot of place to grow in the logic with our PRISM solution and standalone as overall, okay? Because we have a lot to do over there and there's a lot of available market for us to grow in the logic with those the standalone test. The third one should be everything that is related to materials, okay? The combination of moving material metrology in line. And the fact that customers are starting to change materials during the process, opening a lot of unexploited application that before they measured in the laboratory and now, they started to measure in line. So this is the third one. And the fourth one is everything that is related to chemical metrology. The ancosys that we bought last year and already reached the record revenue, which in that part when we bought ancosys, we said that ancosys was not so strong in the front-end and we’re very strong in the back-end. And we do see now that with our efforts the front-end is becoming a strong part and we expect to grow over there as well [Multiple Speakers]
Atif Malik: Great. And one for Dror. Dror when I look at the commentary from your peers on the services for this year, they're still expecting services sales to grow. Some of them are saying it's flat. Is there -- and I don't want to put words into your mouth, but is there any reason to believe that your services business behaves differently from your peers?
Dror David: No, I don't think so. I think we also expect services business to grow in 2023. Obviously, they grew significantly more than 30% in 2022, because of several reasons. So the growth in 2023 will be more -- would be less than that, but we do expect the business of services to grow in parallel to our installed base growth with which practically in 2023 is expected to cross 5,000 systems in all territories.
Atif Malik: And the software component, does that behave similar to services or is it more attached to your system sale?
Dror David: It's more attached to system sales and most of the software business is presented within product revenues.
Eitan Oppenhaim: So I just want to add to that, it’s Eitan here, that when we are talking about software sales, we are not talking about the part that is attached to the system. So we are not talking about version sales or software upgrades. We're just talking about that one software, which is around the machine learning stuff. The model based algo, the things that are sold is a standalone solution to enhance the [slits] (ph). This is on top of the services.
Atif Malik: Got it. Thank you, guys.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Eitan Oppenhaim, President and CEO for closing remarks.
Eitan Oppenhaim: Thank you all, and thank you, operator. See you in the next call. Thank you for joining the call today. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.